Christie Masoner: Welcome to GoDaddy's Second Quarter 2025 Earnings Call. Thank you for joining us. I'm Christie Masoner, VP of Investor Relations. And with me today are Aman Bhutani, Chief Executive Officer; and Mark McCaffrey, Chief Financial Officer. Following prepared remarks, we will open up the call for your questions. [Operator Instructions] On today's call, we'll be referencing both GAAP and non-GAAP financial measures and other operating and business metrics. A discussion of why we use non-GAAP financial measures and reconciliations of our non-GAAP financial measures to their GAAP equivalents may be found in the presentation posted to our Investor Relations site at investors.godaddy.net or in today's earnings release on our Form 8-K furnished with the SEC. Growth rates represent year-over-year comparisons unless otherwise noted. The matters we'll be discussing today include forward-looking statements, such as those related to future financial results and our strategies or objectives with respect to future operations. These forward-looking statements are subject to risks and uncertainties that are discussed in detail in our periodic SEC filings. Actual results may differ materially from those contained in forward-looking statements. Any forward-looking statements that we make on this call are based on assumptions as of today, August 7, 2025. And except to the extent required by law, we undertake no obligation to update these statements because of new information or future events. With that, I'm happy to introduce Aman.
Amanpal Singh Bhutani: Good afternoon, and thank you all for joining us today. At GoDaddy, our mission is to empower entrepreneurs and make opportunity more inclusive for all. We draw inspiration from the ingenuity of our customers who are the people building businesses, chasing dreams and positively impacting their communities. As our small business survey consistently shows, they are a resilient group and remain optimistic about their own businesses even when navigating increased complexity. That's why we are committed to delivering the critical technology they need, combined with the human guidance that is empathetic, accessible and grounded in their success. It is this combination that helps our customers thrive and grow with confidence. In the second quarter, our disciplined execution delivered strong results, reflecting the power of our strategy of attracting and retaining high-intent customers who generate high lifetime value for GoDaddy. A&C bookings grew 12% against the toughest comparison for the year and normalized EBITDA margin expanded nearly 200 basis points, reflecting the operating leverage in our model. We made strong progress towards GoDaddy's financial North Star of maximizing free cash flow with growth of 21%. Reflecting that momentum, we are raising our full year 2025 free cash flow guidance to approximately $1.6 billion. As a leader in bringing AI to micro businesses, we are energized by the transformative potential that Agentic AI is unlocking for Airo and our customers. This is more than an evolution. It is a leap forward. This quarter, we began testing a new conversational experience that lays the foundation for something truly groundbreaking, an agent that can intelligently complete complex multistep tasks for our customers, freeing them to focus on what matters most building their dreams. Imagine a world where entrepreneurs can ask Airo anything across the full spectrum of our offering and receive instant contextual support seamlessly connected to our expert guides when they need a human touch. Brought to the customer experience as Ask Airo, its goal is to be a fully guided and proactive digital experience powered by agentic AI and elevated by empathetic care. The short video you saw at the start of this call offers just a glimpse into the future we are building for our customers. Behind the scenes, our operations are undergoing a fundamental shift powered by AI. Across the company, employees are embracing AI and agentic tools to accelerate velocity of execution. In one recent example, 2 interns leveraged our internal Agentic platform to build an agent that autonomously diagnoses anomalies in experiments, reducing a process that once took days to just minutes. From engineering to accounting, AI and Agentic AI is reshaping how work gets done by transforming roles, unlocking efficiency and enabling our teams to focus on higher impact outcomes. We can't wait to bring all of this to life for you as well. We look forward to sharing a deeper look at Airo's Agentic capabilities at our investor dinner later this year. What we are building is exciting, and we are off to a great start. As always, I also want to share a bit more about our growth initiatives, starting with pricing and bundling. With half the year behind us, we feel confident that this initiative is on track and delivering across both ANC and Core platform for 2025. At the same time, we are actively executing against our 2026 road map, testing and scaling new offerings that represent the next phase of this multiyear journey. These new bundles are based on new partnership capabilities and the early results have been promising. Pricing and bundling is starting to benefit from our increased code writing velocity using AI. As an example, we recently concluded a test integrating a new partner product into GoDaddy's technology stack over a matter of weeks rather than months. Remarkably, nearly 100% of the code was generated by AI and guided by a senior engineer. This was work that would typically have required a small team for a few months. While the exploration of AI-driven coding is ongoing across many use cases, this example demonstrates the transformative potential of AI-driven coding in pricing and bundling. Scaling this type of result across our teams would create a step function change in velocity, enabling us to test new bundles at a pace many times faster than today. Our next major initiative is seamless experience, an ongoing large-scale experimentation machine designed to enhance the entire customer journey from landing page and initial search all the way through to purchase and renewal. It is focused on improving discovery and reducing friction, saving our customers' time and effort. Through this initiative, we boosted conversion rates, strengthened attach and drove better renewal performance, outcomes that our scale translate into meaningful financial impact now and in the future. The bookings generated from seamless experience have scaled in an impressive manner, and this initiative has an equally strong road map as pricing and bundling and its impact and contribution is becoming increasingly comparable. Turning to our commerce initiative. We surpassed a significant milestone, reaching more than $3 billion in annualized gross payments volume on continued strong conversion of our existing base of customers, a clear signal that our strategy is resonating. Equally exciting, our focus on delivering powerful high-value tools is gaining traction. Our newly launched Rate Saver, a credit card surcharging feature that can reduce effective rates from merchants by more than 50% is demonstrating promising early momentum with attach rates climbing. Last but never least, Airo discovery and engagement continues to grow, and we expect it to increasingly shape and monetize our future customer cohorts, and our strongest cohorts are ahead of us. Notably, Airo cohorts consistently outperformed non-Airo cohorts across key metrics, including average order size, multiproduct attach rates and renewals, serving as a catalyst for the growth in higher lifetime value customers. These gains are compounding, creating long-term leverage in our model. We are deeply focused on Airo's continued evolution into a true differentiator that accelerates customer success and drives sustained value across the entire GoDaddy ecosystem. In closing, we are proud of the progress we made in the second quarter as we push our strategy forward, making meaningful progress towards our 3-year targets outlined at our Investor Day in 2024. Our results reflect the impact of disciplined execution and the growing traction behind our priorities of expanding high-intent customers, capturing more wallet share and driving greater lifetime value. As we enter the second half, our teams are focused, our path forward is clear, and our business is well positioned to accelerate the pace of innovation that delivers long-term value to our customers and shareholders. With that, here's Mark.
Mark McCaffrey: Thanks, Aman. Good afternoon, everyone, and thank you for joining us. Q2 was another strong quarter for GoDaddy, underscoring the resilience of our customers and the mission-critical solutions that differentiate us in the market. We delivered A&C revenue growth of 14%, expanded normalized EBITDA margins to 31%, and we grew free cash flow to $392 million. Our consistent performance reinforces the strength of our strategy and the discipline of our execution as we progress toward our North Star of maximizing free cash flow over the long term. Total revenue grew 8% to $1.2 billion on both a reported and constant currency basis, surpassing the high end of our guided range. Annual recurring revenue grew 9% to $4.2 billion and international revenue grew 11%. For our high-margin A&C segment, we drove 14% growth in revenue to $464 million, in line with our guided range. A&C is now approaching an annualized run rate of approximately $2 billion, nearly doubling over the past 4 years on the ongoing adoption of our subscription solutions. A&C revenue now accounts for 38% of total revenue, which is an all-time high, up from 36% at the same time last year. Segment EBITDA margin expanded nearly 100 basis points to 44%. Our Core Platform segment delivered revenue growth of 5% to $754 million, exceeding our guide. These results were driven by growth in primary domains, up 7% on both units and pricing and bundling initiatives, alongside continued momentum in aftermarket, which also grew 7%. Segment EBITDA margin expanded by over 200 basis points to 33%. Moving to profitability. Normalized EBITDA grew 15% to $382 million, delivering an expanded margin of 31%, up nearly 200 basis points and in line with our guide for the quarter. The expansion was driven by sustained operational discipline with leverage gains reflected across our P&L. Total bookings grew 7% on a reported and constant currency basis to $1.3 billion against the toughest compare of the year. Within that, A&C bookings grew 12% and core platform bookings grew 3%. As a reminder, bookings primarily represents cash collected during the period. Importantly, free cash flow grew an impressive 21% to $392 million, reinforcing the strengthening of our customer cohorts and the increasing conversion of normalized EBITDA to free cash flow at a ratio that is now greater than 1:1. Our go-to-market strategy is focused on attracting high-intent customers who adopt multiple products and generate high lifetime value. Over the past year, cohorts that spend over $500 annually grew meaningfully, and that momentum carried through into Q2. This group now represents nearly 9% of our total base, and Airo is playing a pivotal role in its evolution by intelligently guiding their journey. These customers are expanding average order size and fueling GoDaddy's impressive total ARPU growth, up 10% to $230. What's more, this cohort demonstrates near perfect retention. The combination of rising ARPU and exceptional retention clearly illustrates the durable pathway we built toward a growing base of sticky, higher lifetime value customers. On total customers, we have largely moved beyond the impacts of eliminating deep discounts and divestitures. That said, we continue to see some residual pressure from migrations as they move through their initial renewal cycles. Excluding this remaining headwind, customer count has grown in each of the last 2 months. As these pressures subside and we benefit from strong conversion of higher intent cohorts, we expect a return to customer growth later this year. This momentum underscores the effectiveness of our strategy and the long-term value creation embedded in our integrated platform. On the balance sheet, we exited the quarter with $1.1 billion in cash and total liquidity of $2.1 billion. Net debt was $2.8 billion, representing a net leverage of 1.6x on a trailing 12-month basis. Year-to-date, through August 6, we have repurchased approximately $900 million of our outstanding shares. Our commitment to a disciplined capital allocation framework is unchanged, and share buybacks remain a key mechanism to return value to our shareholders. As of the end of the quarter, our fully diluted shares outstanding was 142 million. Looking ahead, I am pleased to share that given the strength of our performance year-to-date, our increasing profitability to cash flow conversion and the proven durability of our business model, we are raising our full year free cash flow target to approximately $1.6 billion, representing growth of over 18%. Additionally, we are raising our full year 2025 revenue outlook that we provided in February. We now expect total revenue to be in the range of $4.89 billion to $4.94 billion, representing growth of 7% at the midpoint. For the full year, we expect FX-neutral bookings growth to be in line with revenue growth. For Q3 specifically, we are targeting total revenue of $1.22 billion to $1.24 billion, also representing 7% growth at the midpoint of the range. Within total revenue for both Q3 and the full year, we expect Applications and Commerce revenue growth in the mid-teens and core platform growth in the low single digits. Regarding our outlook, I want to mention that beginning in the fourth quarter of this year, GoDaddy will no longer operate as the registry service provider for the .co top-level domain. As a result of this change, we anticipate an approximate 50 basis point headwind to bookings and revenue primarily in the fourth quarter. Importantly, this transition does not affect our ability to execute our strategic initiatives or deliver on our 2025 and 2026 financial commitments. For the third quarter, we are projecting a normalized EBITDA margin of approximately 32% and we are reaffirming our full year margin expansion target of 100 basis points with continued sequential expansion each quarter this year, exiting 2025 at 33%. We expect normalized EBITDA to maintain greater than a 1:1 conversion to free cash flow for the full year. Our capital allocation approach remains unchanged, and we will continue to evaluate all opportunities according to our rigorous returns-based framework to maximize long-term shareholder value. In closing, we remain more confident than ever in the strength of our model and our ability to execute toward our targets. Our second quarter results reflect GoDaddy's solid foundation powered by disciplined operations, consistent innovation and the growing impact of our strategic initiatives from enhancing and expanding AI-powered experiences and solutions like Airo to attracting higher-value customers we are driving sustainable and profitable growth across the business. With nearly 30 years of consistent growth through a variety of macroeconomic backdrops, GoDaddy is built for durability and long- term value creation. That strength is anchored by a high-quality recurring revenue base, disciplined cost management, robust free cash flow generation and a strong balance sheet. Looking ahead, we are fully committed to delivering on our Investor Day targets of $4.5 billion plus in cumulative free cash flow generation, 6% to 8% annual revenue growth and expansion of our full year normalized EBITDA margin to 33% by 2026. With our continued momentum, we remain excited about our path forward. With that, I'll hand it back to Christie to open up the line for questions. Thank you.
Christie Masoner: [Operator Instructions] Our first question comes from the line of Willow Miller on for Arjun Bhatia at William Blair.
Willow Miller: So maybe we can start with the A&C growth. How should we think about the decel in the quarter? And does this continue through 2025? Just trying to figure out if there's a trough considering the Airo strategy is layering in, which should help drive average order size and attach in the segment? And then maybe just a follow-up. What are you seeing in the latest cohort of customers who experience Airo? Is this helping with the multiproduct adoption?
Mark McCaffrey: Yes. Thanks, Will. No trough, right? We are happy about the momentum of A&C. And overall, as a business, we think that the bookings and revenue will be on par for the year, absent any impact of FX. A&C now is at a run rate of about $2 billion for bookings and revenue. We're really proud of the momentum there, and it is a growing business. It's at 38% of our total business today, and we're looking at it growing to about 40%. So we couldn't be more excited about the momentum within A&C. And hey, it was a tough quarter compare considering the growth last year in A&C was upward of 24%.
Amanpal Singh Bhutani: And maybe below that the comps do get easier in the second half of the year for A&C growth. So you can keep that in mind.
Mark McCaffrey: On the -- I also want to -- you had a question on the cohorts related to Airo. And listen, we're seeing these cohorts. They're coming in, they're converting at higher rates. Their average order size is being driven up. It's driving our increase in ARPU, and we have a near perfect retention rate with them. So this strategy is working. We're getting to those high intent customers, and we're really pleased with the momentum it's providing in the business, not only in A&C but also in our core platform.
Amanpal Singh Bhutani: On the customers that are sort of over $500 customers, that's where Mark's talked about the near perfect retention, but that's being driven by the attach that Airo facilitates. So I think you're talking about it's a driving attach is a average order size. We continue to see cohorts out from non-Airo cohorts every month.
Christie Masoner: Our next question comes from the line of Josh Beck from Raymond James.
George Josh Beck: I have a higher-level question probably for Aman. But when we think about the Agentic web and this kind of potential new front end, how do you think about kind of making sure that the website ecosystem and app ecosystem remains relevant. I think in some ways, investors want to make it a little bit cut and dry, like it's either the Agentic web or something else. But just kind of big picture, high level, like how do you see this affecting the way that consumers are gathering information? And what does this mean for GoDaddy?
Amanpal Singh Bhutani: Yes. Thank you, Josh. I think I'm a huge proponent and very bullish on AI, generative AI and Agentic AI as well. And I think these new capabilities give companies like ours that have access to over 20 million customers, brand awareness across the world, the ability to provide a whole set of products to our customers, but woven together in a manner that's simpler for them to use, more simple than they have ever, ever seen before. And we have been a leader and innovator in the AI space for micro businesses from the very beginning, right? I personally am super involved with -- and I have been for years at the company with how we work with AI and now how we work with Agentic AI and how it's transforming our customer experience. And you'll see that with Ask Airo, if you were able to catch that little video at the beginning of this call. We're bringing forward a new interaction pattern for Airo, which just makes it even more easy or seamless or you can say conversational with the customer. And we're even working to bring in sort of AI and human expertise together. So it's seamless between the 2. For me, when I think about GoDaddy, there are 2 areas of opportunity. One is what we can do for our customers, which is make things much, much easier for them, which leads to attaching more products, which leads to us being able to expose them to higher SKUs and so on, but also internally, the company transforming where every role in the company is empowered with AI and those roles evolve and change. And sure for now, there's a lot of exploration and utilization of AI and Agentic is growing. But as those 2 curves cross, I think what you're going to see is a step function opportunity for companies like ours to be more efficient and provide great products. to our customers. And we'll actually show you some of this at the investor dinner later this year. So I'm super excited to sort of bring it all to life.
George Josh Beck: It's super exciting. I wanted to also ask just on the pricing kind of learning curve from Airo -- all Access and certainly the Airo plus logo maker. You've seemingly done a lot of testing. Do you feel like you've kind of got that at a point where this is somewhat of a stable pricing pattern moving forward? Is it still in heavy experimentation. Just kind of curious on the learnings and how that's influencing where the pricing goes.
Amanpal Singh Bhutani: Yes. You saw us test all Access, but you're also seeing different forms of Airo Plus, if you're watching the different experiments on the site. It's still all very, very early. There are some paths where we're having great success in introducing Airo Plus and customers intuitively understand it and go for it. And on other paths, what we're finding is more education is required, sort of more easing into the path is required. So we'll -- Airo Plus is still very new, just launched in Q1. So you'll continue to see us testing it. But overall, we're very excited about where Airo is in terms of creating a higher average order size through attach, where it's getting engagement into multiple products with us, how it's helping us reach sort of that higher-end customer and filling a broader set of intents for them. And we can see that, that naturally leads to Airo Plus over time. So yes, continue to be super excited about that.
Christie Masoner: Our next question comes from the line of Trevor Young from Barclays.
Trevor Vincent Young: Great. First one for me. On the Dotco registry change, I appreciate the color sizing that for us. Is there a change here in thinking on whether you want to be a registry versus a registrar? Or is this just a one-off related to that specific country code? And then, Mark, on the 3Q EBITDA margin and full year margin unchanged, it implies diminished margin improvement in the back half versus about 2 points in the front half. Are there some costs layering in here that we need to be mindful of or some mix differential or anything like that? And then bridging that to the raised free cash flow guide, is there something working capital-wise that we need to be mindful of? I think I heard you say that you're now expecting greater than 1:1 EBITDA to free cash flow conversion. So just hoping you can unpack that.
Mark McCaffrey: All right. No problem. Trevor. No change in our philosophy. This was a one-off situation where we went out to rebid and the profitability metrics that were needed to continue in this relationship just weren't there for us. So I would say it's more on the strategy of our profitable growth and making sure we stay disciplined to our framework versus a change in philosophy. On the diminished margin expansion, nothing really to call out here. We are doing well. We're expanding sequentially quarterly. We're on target for a 33% exit. Our comparisons for the margins last year in the second half are a little harder than they were in the first half. There's nothing to call out expense-wise. And on the free cash flow, it's being driven by our strong bookings and the cohorts coming in. Remember, bookings is the beginning of our free cash flow, the top line of our free cash flow. And we're seeing a lot of strength at the top of that funnel related to the cohorts we're bringing in. They're coming in at higher average order size, better retention, and that's helping us on our free cash flow. So positive momentum in the business and operations is the driver. Nothing to really call out on working capital or unique expenses in the second half.
Christie Masoner: Our next question comes from the line of Vikram Kesavabhotla from Baird.
Vikram Kesavabhotla: Can you hear me okay?
Amanpal Singh Bhutani: Yes, payback.
Vikram Kesavabhotla: My first one is on Ask Airo. I appreciate the video that you shared at the top of the call and all the commentary around the opportunity from Agentic tools. I'm just wondering if you could talk more about how you're thinking about the time line for bringing these solutions to market across your customer base and just what some of the initial feedback has been from the tests that you've been running so far? And then my second question is on the customer count. I appreciate all the color on some of the underlying trends there. But on a headline basis, I think you said you still expect to return to growth later this year. And I'm wondering if you can put a finer point on the time line there, if that's going to happen in the third quarter or the fourth quarter? And what you're seeing at the top of the funnel or other signs that give you confidence that you'll return to growth this year? And I'll leave it there.
Amanpal Singh Bhutani: Thanks, Vik. Let me start with Ask Airo. Ask Airo is actually already being tested on a few pages on the site. So what happens is we replace that little button at the bottom where customers can ask questions with Ask Airo. And the initial tests have shown that customers actually like clicking on that button. It attracts their attention and it opens up a model and a conversational experience for them where they can do a few things. Now having this initial success where the user interaction pattern seems good and is tested, we're going to layer in more and more Agentic capabilities into Ask Airo over the next quarter. So it's very much right in front of us over the next few months. And the idea is to keep bringing in more and more capabilities as we see what customers are exploring and what sort of works well. I think folks probably understand this, the AI capabilities, they're not deterministic. It's a probabilistic modeling work. And so you have to test it. You have to see that the customer is getting a fantastic interaction and then you sort of roll it out and handle more and more use cases. The thing I would say about Airo is we are talking about a real set of agents that actually find and resolve issues or do sales or all of that on the customer's behalf. We're not talking about an agent that says, "Oh, if you want to do this, you can find it here. We're talking about very, very real AI Agentic technology that really simplifies it for our customer.
Mark McCaffrey: Yes. And Vik, on the customer count, just hey, our strategy is around going after these high-intent customers. and we're seeing improved customer count around those that are spending more than $500 with us. And these -- this cohort is having meaningful contribution to our growth. We're seeing -- like we said, the higher average order size, near perfect retention. It's working exactly the way we wanted to, if not a little ahead of schedule. On the total customer count, yes, we are seeing some tail-off effect of the migrations as we get through the renewal cycle. Now a reminder, these are mostly one product customers. A lot of time, they're low-cost domains. We expect to see it through the rest of the year. We're seeing positive signals in the last couple of months, but nothing to call out on the exact timing of when we'll say it positive. But again, our focus is on that high-intent customer that's going to spend more than $500 with us.
Christie Masoner: Our next question is from the line of Ken Wong from Oppenheimer.
Hoi-Fung Wong: Fantastic. I guess my question is kind of merging Vik and Josh is a little bit this is probably less of a headwind for you guys versus your peers. But are you guys seeing any change in terms of the top of funnel? Are you seeing any change in share shift in terms of potentially AI, by coding tools maybe taking some share on kind of your web presence products? Any color there would be great Aman.
Amanpal Singh Bhutani: Yes. Look, I'm super excited about AI and Agentic capabilities, making it easier for customers, whether that's to find domains or build websites or any of the features that we talk about. The main point I would make is, one, we are not seeing any direct sort of issue. Our strategy is to attract a high-intent customer. We're seeing strong top of the funnel. We're seeing better sort of year-over-year conversion of those customers, and we're seeing higher attach higher average order size. So that's what the metrics are saying. But if I want to sort of look forward the next year or next 2 years, maybe the context I would share is that I've been involved deeply into this sort of within our -- with our teams for many years now. And the things that are possible today a year ago, I don't think we would have thought possible. So if we're looking at things today and saying, "Hey, XYZ is now made, that's not -- in my mind, that's not the case at all. We are at the beginning of this new way of working, which is going to be powered by AI. And there's going to be a lot of movements over the next 2 to 3 years as the AI capability improves, as it scales, as it gets sort of put into every piece of how we work. And to me, that's a massive opportunity. right? Are multiple companies going to use it? Absolutely. But GoDaddy has fantastic brand awareness globally. We have a big customer base. We have a lot of customers coming to us, new customers coming to us every year, and we have the opportunity to both build these tools ourselves because of how our technology capability, our software development platform has improved, but we also have the ability to use our balance sheet and financial position if we want to really provide the best for our customers. And that's, I think, a great opportunity for the company.
Hoi-Fung Wong: Got it. Understood. Appreciate the insights there. And then maybe somewhat building on that, I guess, do you feel the value or having the starting point at the domain, does that strategic value increase going forward? Maybe a little high level and maybe a little far out, but I'm sure something you guys have noodled on internally.
Amanpal Singh Bhutani: We love our position as the world's largest domain registrar. We love our position that the world thinks of GoDaddy to think of domain names because every idea, when people have the idea, the first thing they think about is, "Oh my God, let me protect the name of that idea. And they do that by buying a domain name. That gives us access to those customers when their ideas start. In fact, we see so many ideas that never start because customers search for things, they may not even become our customers, but we are gathering that data all the time. And given our large scale, we get to see search traffic or what people are searching more than probably anybody else. So our core model of starting with the domain name, making that funnel stronger has been a tremendous advantage for the last 28, 30 years. And as we look forward, it's only becoming stronger because we've taken the domain name and we've worked to reinvent it to say when you start with the domain name with Airo, you're going to get all these other things, too. So you're not just starting with the domain name, you're starting almost with sort of a set of things that start your business, almost like a business in a box, just with a domain name.
Christie Masoner: Our next question comes from the line of Ygal Arounian from Citi.
Ygal Arounian: Maybe one -- so just on Airo and conversion and monetization updates. And when you first rolled out Airo, kind of the big feature was creating the initial landing page when you register for a domain and the expectation that, that landing page over time turns into more. I mean it sounds like you're making progress there, $500 customers, but are you seeing better conversion in those landing pages turn into real sites and more products being attached. Can you just update us on that flow and how that's been trending?
Amanpal Singh Bhutani: Yes, Ygal, the percentage of customers that end up in a website product with us -- the path for that more and more over the last year has become through Airo. And actually, for a few quarters, we shared that data, but now it's just sort of got up and up and up, where customers come in, they start with a domain name, we build them the one paid site. A good percentage of customers take that, they love it, and that makes it easier for us to upsell the paid website. And more and more of that paid website is driven by AI, where the whole site is just created for the customer, which basically disrupts this whole idea that customers come in and they have to build a website using an editor and a template. And it's more about no, you've got the domain name from that name, we have done a good job of understanding what your idea is about and we give you 7, 8 options, if you pick one of those options, that tells us very clearly what it is that you're in and now we have a paid site, but we can take all of that information and of course, the information we have from many other customers and turn that into a paid product, a website for you. So that's the path we're going down, and it's just more and more customers end up with a paid product going through the Airo path.
Mark McCaffrey: Yes. And just taking a step up, right? If you think about volume for us being stronger retention rates, better attach, new customers coming in and buying and converting higher, that is doing really, really well for us. The other side of the equation is the pricing and bundling, giving more value and getting price for it. If you look at those as the 2 drivers, the price element plus the volume element, they are contributing equally now to our growth. And that puts us in a really good spot going forward. pricing for value, but yet also getting the stronger cash retention and new customers coming in and converting at a higher rate.
Ygal Arounian: Great. That kind of segues into my second question, Mark, on pricing and bundling and you just kind of shifted from a product to a cohort lens. How is that going? Any learnings or maybe on the trajectory of pricing and bundling and the opportunity going forward?
Amanpal Singh Bhutani: Yes. The shift to taking the customer cohort has been fantastic. We have approached it from the customer lens and the biggest impact that -- or the biggest thing that's opened up for us is we're able to look at the full relationship with the customer and really help our renewal rates overall because we want to help our customers succeed, and we don't want to take price if that's going to leave them to depart. We want to help them along. We want to give them the tools that will make them successful. And once they are successful, of course, we participate in their success, and that's what the value-based offer does for them.
Mark McCaffrey: And just to interject, you have more jump in. But the great part about this cohort that we're seeing it now contribute to both A&C and core platform, and we saw some of that growth start to show up in the domain element of the core platform because we were bundling the domain with certain things. So again, those cohorts are really starting to work. And I know we're talking -- we're thinking about next year already.
Amanpal Singh Bhutani: Yes, exactly. What I was going to add is that both for pricing and bundling and seamless experience, we feel very good about the road map in front of us because right now, we are testing the bundles that are going to go live in Q4 of this year or Q1 of next year that are going to be the pricing and bundling initiative for next year. So we go into this through lens of experimentation with a lot of confidence. And the same is true for seamless experience where it is a program that is literally based on thousands of tests that get run that improve the customer experience at many, many, many nodes, allowing us to test very different experiences. And we are getting better and better at that. And that's something I called out in my prepared remarks that the -- if you look at the return coming from these programs, both of these programs are starting to contribute sort of in a similar manner and have great road maps in front of them.
Christie Masoner: Our next question comes from the line of Brad Erickson from RBC.
Bradley D. Erickson: Maybe I'll just follow on to that last one. I think security was a pretty big driver for you on the pricing and bundling last year. I guess as you're doing all these tests, and you talk about the Q4 launch, any way to think about kind of sizing the magnitude of impact that it had because I think I think it showed up in the P&L fairly well from the security side. So just how to think about that as you roll these products out over the next 12, 18 months?
Amanpal Singh Bhutani: Yes. I'll probably turn to Mark a little bit, but my guess is a little early to talk about what the specific bundles would be for 2026. As we've evolved this capability, we're a little careful about how much detail we publicly talk about the specific bundles because they can tend to be quite unique to cohorts of customers. But I think we'll talk about 2026 when we get to it.
Mark McCaffrey: Yes. We'll talk about 2026, but coming back to the commentary I made before, when we look out at the contribution across our cohorts, how much is being driven by the volume element and the improvement and the attach and convert versus how much is being driven by pricing and bundling and that value element of it. And the fact that they are now starting to even themselves out, it gives you a pretty good idea that we have a good model here that's starting to contribute, and it's based on the balance between the 2.
Christie Masoner: Our next question comes from the line of Alex Lavigne on for Mark Zgutowicz from Benchmark.
Alexander Leonard Lavigne: First, nice acceleration on ARPU sequentially. I was hoping you could qualify uptake from marketing suite or Airo Plus that may have contributed to that.
Amanpal Singh Bhutani: The marketing suite and Airo plus are still pretty new products. So while we're very happy with the attach that's happening with these products, and we continue to put them in front of more and more customers. Overall, there is still a small part. I don't know, Mark, if you want to.
Mark McCaffrey: I'll just talk about Airo in and of itself. We couldn't be more happy at how the strategy is working and what we're seeing at the top of the funnel and the increased convert and the ability to get to the average order size and the near perfect retention that we're getting from that cohort that is coming in. Airo Plus, that is still in the early stage and things like that will contribute to Airo overall. But right now, we're just seeing the experience driving that strong behavior at the top of the funnel. We see steady traffic. We see higher convert. We see better attach. We see higher average order size. And that's because the Airo experience is taking our customers on that journey of what they need much faster, much better and that cohort is becoming very strong in our customer base right now. It's reached 9% or about 9%, and we continue to see that contributing more and more to our overall growth.
Alexander Leonard Lavigne: Got it. That's helpful. And then just one last one on a high picture question. As you think about Agentic and the opportunity that this may catalyze an upmarket push for you guys, perhaps something like an MCP, broader integrations there. Just curious if you could elaborate on that and perhaps some of the milestones we should expect over the next 12 months in terms of Agent monetization.
Amanpal Singh Bhutani: Yes. I think over the next 12 months, you can expect to see a GoDaddy that is completely enabled for Agentic AI, where Ask Airo uses agent-to-agent technology your other evolving technology that if you're asking me about these, I'm sure you know there are new standards coming out sort of every few weeks. And we expect to keep pace with them. We expect to be able to enable the GoDaddy platform for our customers and for our partners in a very significant way using Agentic AI.
Christie Masoner: Our next question comes from the line of Naved Khan from B. Riley.
Naved Ahmad Khan: Can you hear me?
Amanpal Singh Bhutani: We can.
Naved Ahmad Khan: Great. So maybe just on the commentary you had around the rate saver, it delivers a 50% savings. Just wondering -- how sustainable is that from what kind of economics you can expect out of that? Any color would be helpful. And then on Airo, how much of the flow at the top of the funnel is exposed to Airo today? I think some time back, you mentioned more than half the people see it, but any update on that would be great.
Amanpal Singh Bhutani: Yes, happy to provide that, Naved. On the Rate Saver product, the way it works is that when the merchants adopt it, they're able to reduce their -- the fees they pay by about half. So there really isn't, I would say, a threshold like it's not a promo that we're offering. It's actually a product feature that helps them reduce their cost. So we expect its adoption to grow in the new cohorts where we put it forward. In the new sales, customers are adopting it very, very fast, so they can understand it. They're like, that makes sense. I need that. I want that. So that's fantastic. And in the existing base that we have, we're also running a campaign to get existing customers, commerce customers to turn it on. Now this is all part of a broader strategy at GoDaddy to improve the economics, to improve the SaaS component of our commerce and payments offering. Of course, we've continued to do well on GPV, but we have put our energy towards the SaaS products, so we can have a more wholesome offering for our customers. And our core strategy is still the same. We're enjoying the low CAC to go to our own customers. We continue to have fantastic leads. So we know our strategy is working, and we're slowly expanding our sales force to be able to go after more and more customers that are in our base already as we have a bigger set of features that go across both payments, but also the SaaS offering. In terms of Airo, practically, all customers are now new customers, especially on the top of the funnel, are starting to see Airo and are in Airo. When Mark talks about the Airo and non-Airo cohorts, he's very much talking about those customers coming in and being exposed to Airo. And it's become more nuanced. Customers now have more choices on how they use Airo, and that's only developing well as we are able to better segment customers that maybe just want to buy a domain because they want to add it to their portfolio and don't want Airo, but others that want Airo and hence, we are able to push them through a different path and sort of get more engagement across more products. So in terms of rollout, you can expect Airo to -- over, I think, a short period of time, basically every customer is going to be able to see Airo. We'll continue to work on how deeply they engage and we'll continue to work on things like Ask Airo where they engage in a different way in a conversational style and that will work, we think, differently for existing customers as an example.
Mark McCaffrey: Yes. And no doubt that now that all our customers at the top of the funnel are exposed to Airo that it is helping grow that customer base that is spending more than $500 with us because it is getting them to that attached and average order size that's higher. So it's having a real meaningful impact on our model, and that continues to be a bigger part of our customer base.
Christie Masoner: Our next question comes from the line of Elizabeth Porter from Morgan Stanley..
Elizabeth Mary Elliott Porter: I have another AI question, but maybe from a bit of a different angle. We're often hearing about how it's harder for businesses to get their website found as SEO becomes more challenging. So just kind of 2 questions here. First, how is GoDaddy managing its own impact by SEO? I know you guys have a big brand recognition, so it might not be as impactful. But just curious how diversified is traffic? Any changes that you're making to the marketing strategy? And then second, what's the opportunity for GoDaddy to help its customers navigate this new world, whether it's by specific products or services that you guys can capitalize on?
Amanpal Singh Bhutani: Yes. Of course, GoDaddy is a large brand, and we do quite well in SEO, and we're engaged in the work to get sort of the similar capability with the AI LLMs as well. So all of that makes sense. And of course, everyone can see that Google has evolved and the search traffic is evolving. But so far, GoDaddy has been able to compensate for those changes given our strategy and our approach. We have continued to diversify our channels and how we bring customers to us. We've continued to improve the efficiency of how we reach customers and how -- and we have improved our conversion rates. So all of those offsets for us any changes that happen today. But we fundamentally believe that given our position that as the world evolves, we will have an opportunity to be a leader in the new space as well. So that's where we're focused. And in terms of our customers, one of the products we're most excited about, and we teased it just a little bit in that video early on in this call, is the ability for our customers to have an agent actually do SEO optimization and other optimizations on their website on a continuous basis. We see internal projects that are doing things like that. We have a pretty interesting experiment running that does it completely autonomously and measures completely autonomously. So these are sort of new technologies using Agentic AI, and we think we'll be able to bring those to bear for our customers. And for the customer, the interaction is going to be probably as simple as asking Airo where ask Airo prompts and says, "Hey, I could help you with this and the customer basically has to say yes and sign up for it and then the agent is able to do the rest.
Elizabeth Mary Elliott Porter: Great. And then maybe just a quick follow-up on the Ask Airo. Just the surface area of what you can go after in supporting small businesses is very significant. So as you think about the expansion of capabilities, are there certain areas of workflows that you are highly focused on kind of near term? Are there other areas that could be surprising to investors that you could start to address? And are there any areas that are really just kind of out of the scope of what you guys are trying to look to with this product?
Amanpal Singh Bhutani: Yes. So the customer jobs to be done that we're very focused on are the entrepreneurs wheel, which we have talked about many times. What Agentic AI does and the technology transformation we're going internally for AI is that it allows us to bring all our capabilities together in a very conversational experience for our customers. And the second piece, which I also talked about briefly in the prepared remarks is that what we're seeing is the integration we do with our partners, Agentic coding or coding them with AI is very, very -- that's a very good use case for it for various reasons. And as we scale that, that's where I think the surprise and delight element is going to come from where GoDaddy is going to likely be able to bring in more partners faster and be able to test them much faster and bring those experiences to our customers. And we think that area is going to phenomenally evolve over the next -- I want to say 6, I don't even want to say 12 months. I think in the next 6 months, we'll probably see a lot of changes, and you'll see partners on the site that do different things. And of course, we'll talk about it with you. We'll talk about it on these earnings calls and talk about where we see the best results.
Christie Masoner: Our next question comes from the line of John Byun from Jefferies. I think we might have lost John. That was the last question. So over to you, Aman. Never mind you came back.
Sang-Jin Byun: So question is actually on the core platform. It looked like you're seeing maybe some renewed relative strength there, especially with domains, even the primary, not just the aftermarket being up, I would say, mid- to high single digits. Wondering, is that something that can be sustainable as you kind of alluded to Airo helping there? And then on the Dotco registry, the impact of 50 basis points, should we assume that continues through part of next year as well?
Mark McCaffrey: A couple of things. I'll start with the core platform. We're seeing the benefit of a pickup in the aftermarket. No doubt, we saw activity in some of the larger transactions return in the first half of the year. But we're also seeing the benefit of the positive impact of pricing and bundling within domains. And we talked about it at the beginning of the year. We're starting to see that flow through. Again, I would say there is -- it's sustainable pricing and bundling in and of itself. We'll continue to look and test into it. But we're really happy with the momentum and the added lift not only it's giving to our volume in domains, but also our ability to get value from those domain sales in and of itself. Again, increasing the top of the funnel and that conversion part of it is really, really working. On Dotco, to a lesser extent. I mean we'll see an outsized impact. I mean the whole thing is immaterial in and of itself, but we wanted to call it out for the fourth quarter. It will be a very small impact into next year and doesn't change our ability to meet what we put out there as milestones for 2026.
Christie Masoner: I'll now turn the call over to Aman to close this out.
Amanpal Singh Bhutani: Thank you, Christie, and thank you all for joining us. As always, a fantastic thank you to all GoDaddy team members across the world. We're super excited about the products we're building, the customers we have and the best is still in front of us. Thank you very much.